Operator: Good morning, everyone. On behalf of Virtus Investment Partners, I'd like to welcome you to the discussion of our operating and financial results for the first quarter of 2025. Our speakers today are George Aylward, President and CEO, and Mike Angerthal, Chief Financial Officer. Following their prepared remarks, we'll have a Q&A period. Before we begin, please note the disclosures on page two of the slide presentation. Certain matters discussed on this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. We, as such, are subject to known and unknown risks, uncertainties, including but not limited to, those factors set forth in today's news release and discussed in our SEC filings. These risks and uncertainties may cause actual results to differ materially from those discussed in the statements. In addition to results presented on a GAAP basis, we use certain non-GAAP measures to evaluate our financial results. Non-GAAP financial measures are not substitutes for GAAP financial results and should be read in conjunction with the GAAP results. Reconciliations of these non-GAAP financial measures to the applicable GAAP measures are included in today's news release and financial supplement, which are available on our website. Now I'd like to turn the call over to George. George?
George Aylward: Thank you, Sean, and good morning, everyone. I'll start today with an overview of the results reported this morning, then give it over to Mike for more detail. Market performance volatility was challenging in the first quarter, leading to lower assets under management. And while we had net outflows, we continue to deliver solid financial and operating results. Key highlights included higher earnings per share over the prior year period, increased sales and fixed income strategies across products, positive net flows in ETFs, very strong relative investment performance especially through the recent volatility, a higher level of share repurchases, and a solid balance sheet at quarter-end providing ongoing flexibility to invest in the business. The markets we've been experiencing continue in the second quarter with a heightened level of uncertainty and volatility, which is a type of environment in which active managers can demonstrate their value. In our equity offering, several of our managers employ high conviction or high-quality orientations that seek to deliver strong investment performance and provide a level of downside protection. On the fixed income side, we offer multiple strategies across a spectrum of credit quality and duration, with products that are attractive in a variety of rate environments. We are pleased with the investment performance our managers have generated. In the first quarter, over 70% of our equity strategies beat their benchmarks, reflecting the benefit of quality active management in challenging markets. Our strategies have also consistently helped with 74% of equity assets meeting benchmarks over the ten-year period. We're pleased that our long-term performance was recognized again by Barron's, which identified us as the number two top fund family for the ten-year period. They also ranked us as the third top fund family in the taxable bond category for 2024. In terms of product development, we remain very active in expanding offerings in our key focus areas, including ETFs, global funds, and retail separate accounts. For ETFs and global funds, we have several strategies under development and products in filing that we expect to launch over the next few quarters, including our first interval product. Retail separate accounts, we completed structural steps to facilitate an increase in our fixed income offerings of retail separate accounts. We've also continued to expand the asset-raising efforts of our $5 billion wealth management business and are expanding resources to support that effort. Turning now to review the results. Total assets under management were $167.5 billion at March 31st, down sequentially due to market performance and net outflows. Total sales of $6.2 billion compared with $6.4 billion in the fourth quarter and were generally stable across products despite the market disruption in March. Total net outflows of $3 billion improved from $4.8 billion as the prior quarter included a large partial redemption. Reviewing by product, institutional net outflows of $1.2 billion were primarily due to domestic and global large-cap equity strategies partially offset by positive net flows in small and mid-cap equities as well as emerging market debt. We continue to see interest in our institutional offerings from investors seeking differentiated active managers with strong investment performance. And it continues to be broad representation of sales across our managers, geographies, and investment strategies. Retail separate accounts were net outflows in the quarter, largely reflecting the soft closing of the Smith Cap Core equity model offering late last year. Assets in that strategy had grown significantly and it was soft closed to limit ongoing asset growth in order to protect future returns. We continue to offer other SMICAP strategies as well as mid-cap in which we have significant capacity. Open-end fund net outflows of $1.1 billion were essentially unchanged sequentially. Consistent with market trends, U.S. retail fund net outflows were driven by equity strategies partially offset by positive net flows in fixed income. ETF assets reached $3.4 billion on continued strong positive net flows of $0.3 billion. Over the past year, ETF generated an organic growth rate of 73%. In terms of what we're seeing in April, investors continue to take stock of ongoing market volatility and uncertainty and remain cautious with their investment decisions. Trends in retail remain relatively consistent with the latter part of the first quarter. For institutional, known redemptions do slightly exceed known wins, but institutional flows are hard to predict. Known wins are broad-based representing six managers, eight strategies, and include both U.S. and non-U.S. clients. Our first-quarter financial results reflected the impact of seasonally higher employment expenses. Excluding those items, the operating margin was 32.7%. Earnings per share as adjusted of $5.73 due in part to a $0.01 per share of seasonal employment expenses. On a more comparable year-over-year basis, earnings per share as adjusted increased 6%. Turning now to capital, we continue to take a balanced approach to our capital management by investing in our growth, returning capital to shareholders, and maintaining appropriate levels of leverage. During the quarter, we used $26 million to repurchase or net settle approximately 146,000 shares. Over the past year, our repurchases have reduced shares outstanding by 3% on a net basis. In addition, we made a $23 million revenue participation payment which reduced our contingent liability to $40 million. The bulk of the remaining revenue participation obligation will be paid in the first quarter of next year. Similarly, our final stage equity purchase of our majority-owned affiliate will be made in the third quarter of this year. We ended the quarter in a modest net debt position as the first quarter represents our highest quarter of cash utilization given the timing of annual incentives, a revenue participation payment. Our low level of leverage and significant cash flow generation provide ongoing opportunities to invest in the growth of the business and return capital to shareholders. So with that, I'll turn the call over to Mike. Mike?
Mike Angerthal: Thank you, George. Good to be with you all this morning. Starting with our results on slide seven, assets under management. Our total assets under management at March 31st were $167.5 billion and represented a broad range of products and asset classes. By product, institutional is our largest category at 34% of AUM. Retail separate accounts including wealth management at 28%, and U.S. retail mutual funds at 27%. The remaining 11% comprises closed-end funds, global funds, and ETFs. We are also diversified within asset classes. In equities between international and domestic and within domestic, well represented among mid, small, and large-cap strategies. And fixed income is well diversified across duration, credit quality, and geography. We continue to have compelling relative investment performance across products and strategies. As of March 31, 71% of rated retail fund assets and 33 funds at four or five stars and 86% were in three, four, or five-star funds. In addition, 61% of fund AUM outperformed the median of their peer groups over the five-year period. ETFs have also had strong performance. With 91% of ETF assets exceeding median peer performance for the three-year period and twelve of our fourteen rated ETFs were rated three, four, or five stars. And as George discussed, recent performance, particularly by our quality equity managers, has been compelling through the first quarter market volatility. With 73% of equity AUM beating benchmarks in the quarter. Turning to slide eight, asset flows. Sales of $6.2 billion compared with $6.4 billion in the fourth quarter as higher sales of fixed income strategies were offset by lower sales across other asset classes. Reviewing by product, institutional sales of $1.5 billion were relatively unchanged from $1.6 billion last quarter as higher fixed income sales, particularly emerging markets debt, were offset by lower alternatives and equity strategies. Retail separate account sales of $1.7 billion were also essentially unchanged from $1.8 billion in the prior quarter, with lower smidcap sales mostly offset by higher small cap, large cap, and fixed income. Open-end fund sales of $3 billion were unchanged with higher sales of alternative fixed income and multi-asset strategies offset by equities. Within Open End Funds, ETF sales were again strong at $0.4 billion. We continue to prioritize new ETF capabilities and further availability through intermediaries. Total net outflows of $3 billion compared with $4.8 billion last quarter reviewing by product and institutional net outflows of $1.2 billion improved from $3.8 billion in the prior quarter. By strategy, within institutional, we had positive net flows in emerging markets debt, and small and mid-cap equity strategies. As always, institutional flows will fluctuate depending on the timing of client actions. Retail separate accounts had net outflows of $0.7 billion largely related to the software close of certain mid-cap equity model offerings late last year. Provenan Funds net outflows of $1.1 billion were at essentially the same level as the prior quarter. With positive net flows in fixed income strategies. Within open-end funds, ETFs came with $0.3 billion of positive net flows. Turning to Slide nine, investment management fees as adjusted and $78.5 million decreased 7% reflecting lower average assets under management, and higher performance fees in the prior quarter. The average fee rate was 41.7 basis points, and compared with 42 basis points in the fourth quarter. Excluding performance fees, from both periods, the average fee rate was unchanged sequentially at 41.7 basis points. Looking ahead, we continue to believe an average fee rate in the range of 41 to 42 basis points is reasonable for modeling purposes. With performance fees of $3 to $5 million per year incremental to that range. As always, the fee rate will be impacted by the markets and the mix of assets. Slide ten shows the five-quarter trend in employment expense. Total employment expenses as of $109.4 million increased 5% sequentially reflecting $10 million of seasonal employment expenses related to the timing of annual incentives. Primarily incremental payroll taxes and benefits. Excluding the seasonal items, employment expenses decreased by 5% sequentially primarily due to lower profit-based variable incentive compensation. Employment expenses were 55.4% of revenue as adjusted with a sequential increase due to the seasonal expenses. Excluding those items, employment expenses were 50.3% of revenues. If markets remain at current levels, it is reasonable to anticipate employment expenses, as a percentage of revenues would be at the higher end of our outlook range of 49% to 51%. As always, it will be variable based on market performance and particular, as well as profits and sales. Turning to slide eleven. Other operating expenses as adjusted continued to be in a relatively stable range as we have offset increasing costs with active expense management. For the quarter, other operating expenses were $31.3 million essentially unchanged from the prior quarter. As a percentage of first-quarter revenues, other operating expenses were 15.8% up from 14.6% in the fourth quarter due to lower revenues. Looking ahead, we continue to be focused on managing these expenses within a narrow range. For example, we have reduced our office space, in several locations and expect to generate savings of approximately $1 million per quarter from those activities starting in the third quarter of this year. Actions like these will help us continue to maintain a quarterly range of $30 million to $32 million which remains reasonable for modeling purposes, all else being equal. In addition, keep in mind that our annual Board of Directors' equity grants occur in the second quarter. Slide twelve illustrates the trend in earnings. Operating income as adjusted of $54.6 million declined from $74.5 million sequentially in large part due to the seasonal employment expenses. Excluding those items, operating lower average assets under management. Looking at the more comparable year-over-year operating income declined 3%. The operating margin as adjusted of 27.6% compared with 35.1% in the fourth quarter. Excluding the seasonal employment expenses, the operating margin was 32.7%. With respect to non-operating items, reflecting a lower effective interest rate on our term loan and lower average gross debt. Non-controlling interests which reflect minority interest in one of our managers were lower sequentially by $0.2 million. Net income as adjusted of $5.73 per diluted share which included $1.01 of seasonal expenses, compared with $7.50 in the fourth quarter and increased 6% over the prior year period. In terms of GAAP results, net income per share of $4.05 decreased from $4.66 per share in the fourth quarter and included $0.94 of realized and unrealized losses on investment partially offset by $0.35 of fair value adjustments to minority interests. Slide thirteen shows the trend of our capital liquidity and select balance sheet items. As a reminder, the first quarter typically represents our highest quarter of cash utilization during the year due to the timing of annual incentives, and the revenue participation payments, in addition to return of capital to shareholders, through the dividend share repurchases and net settlements. Cash and equivalents at March 31 were $135.4 million. In addition, we had $143 million of seed capital investments to support growth initiatives and $132.8 million of other investments primarily in our managed CLOs. Working capital was $137.2 million up 2% from $134.5 million as cash generated more than offset return of capital and the revenue participation payment. During the first quarter, we repurchased 111,200 shares of common stock for $20 million and net settled 35,178 shares for $6.1 million to satisfy employee tax obligations. We also made a $23.1 million revenue participation payment reducing the contingent consideration liability by 36% to $40.4 million. The majority of that liability will be paid next year in the first quarter. At March 31, gross debt to EBITDA was 0.7 times. Unchanged from December 31. And we ended the quarter with $100 million of net debt or 0.3 times EBITDA. EBITDA in the first quarter while down sequentially due to seasonal employment items, was up modestly from the prior year level. Our adequate levels of working capital and modest leverage provide financial flexibility to continue to invest in the business and return capital. And finally, as I've previously noted, our intangible assets continue to provide a cash tax benefit which is not included in our earnings per share as adjusted. Net present value of the tax asset is approximately $112 million or $16 on a per share basis. And with that, let me turn the call back over to George. George?
George Aylward: Thanks, Mike. We will now take all of your questions. Edie, would you open up the lines, please? Thank you.
Operator: And our first question comes from Ben Budish of Barclays. Your line is open.
Ben Budish: Hi. Good morning, and thank you for taking the question. Maybe just to start, I think you indicated the fee rate going forward probably gonna be in between the range. Can you provide any more color on where things are kinda shaking out as we get into April? And then wondering if you could also touch on just some of the fee rate changes we saw in the quarter. U.S. Retail funds a little bit lower, ETFs seem to be trending higher. I'm sure there's mix within the mix, but any additional color there would be helpful. Thank you.
George Aylward: Yeah. Hey, Ben. As you know, the fee rate will be impacted by many factors, including the market. Fee rate differential on sales versus redemptions, but the market's impacted the fee rate. Really, the change as you noted on the open-end funds was due to the mix of assets, really, the change from some of the higher fee rate on the equity side to just a slightly lower fee on the fixed income side. Notably, fee rate in and of itself does not have an impact or directly reflect profitability. Still targeting incremental margins in that 50% to 55% range. But just currently, as we look ahead, I do think the range that we talked about is appropriate for modeling. And if there are any updates to that, we'll reflect that and communicate it accordingly.
Ben Budish: Understood. Maybe a follow-up just on the capital allocation side. You bought more shares in the quarter than you had in the past several quarters. I know you're always cognizant of liquidity in your stock, but curious what your appetite is just kinda given the recent share performance and market backdrop.
George Aylward: Yeah. So, I mean, as you commented, we always evaluate our alternative uses of capital every quarter. And one of the factors we do evaluate is our relative perspective on how our stock is trading. And as you correctly know, we did increase the amount of repurchases. We did compared to prior quarters. So that will continue to be a factor as we sort of decide what the next repurchase levels will be. But, you know, currently, as Mike indicated in his comments, we're still at low levels of leverage, we're currently generating a lot of cash flow, again, and while we do invest in the business, we do think return of capital is critical. And, again, we're very cognizant of our perspective on how that stock is trading. So that absolutely will figure into how our decisions on what to do in the next few quarters.
Ben Budish: Alright. Understood. Thanks for taking my questions. Thank you.
Operator: Thank you. And our next question comes from Bill Katz of TD Cowen. Your line is open.
Bill Katz: Great. Thanks very much. So just following with the SMAs, has been a nice driver for you over the last number of quarters and it flipped negative. And I think you mentioned in this quarter, you mentioned that you had soft closed a vehicle. You show size how big that vehicle is? What percentage of the 2024 flows that represents. And as you look across your broader SMA platform, are there any other vehicles that might be facing some kind of capacity constraints?
George Aylward: Yeah. So for SMAs, that has been an area where we've consistently had growth over a period of time. And as we indicated, one of the strategies that have been very successful, there was an appropriate soft closing of that. And that was coincident then, obviously, then with the challenges in the market in the first quarter. Right? So whenever we have a strategy that we put through a soft close, our goal is really just to then encourage investors to consider other alternative or similar strategy. And in that case, we actually have very similar strategies that was this makeup core. We have other very attractive strategies as well in the SMID and the mid-cap. Again, we were trying to do that in the quarter of a little bit of volatility and uncertainty in terms of how investors should behave. But our offerings are generally broad-based. As indicated in the last quarter, we've incubated and launched several new strategies. Some of my comments in the beginning of today's call, I indicated that we've done some additional structural changes in terms of enhancing our ability to expand the number of fixed income SMAs. So we continue to be focused on taking advantage of the fact that we have been successful with SMAs and their growth and then continuing to just make more offerings available through them. For the specifics on the strategies capacity, Mike?
Mike Angerthal: Yeah. I think we feel good about capacity and don't have any specific capacity constraints on other areas in the retail channel. And I think what we've been pleased with is moving up in the capitalization. We've seen mid-cap, looking year over year on the sales in mid-cap, they're up meaningfully. And we've been able to at other times increase larger capitalizations as we've soft closed other products, whether it's small cap or now SMID cap. So we've seen and had success in moving up the capitalization and feel very good about mid-cap, both on the core specifically on the core side and there is significant available capacity in that area. We do expect that to be a contributor to growth going forward.
Bill Katz: Okay. And then just maybe a big picture question. I know we've chatted about this over the last couple of quarters. And I think usually when you make any kind of strategic change, it tends to be in the first quarter of the New Year. And just what's your latest thinking in terms of trying to better monetize the deferred tax asset by transitioning that to a potentially lower effective tax rate as it affects adjusted earnings from here?
George Aylward: Yeah. I think you're referring to the tax attributes in the presentation of those tax attributes. I don't necessarily know if it's monetizing the tax attributes. It's more of a reporting factor because we are achieving the economic benefit from those tax attributes. We did provide just the latest context around that on an NPV basis. I think it comes out to around $16 a share. And we've talked about there being a divergence in practice where some industry participants will modify and adjust their tax rate and estimate that and lower their tax rate. So we do continue to evaluate it. It's important to us to provide transparency because there is real value that we do achieve from those tax benefits. So we'll continue to evaluate and ensure we think we're providing the appropriate transparency to ensure investors with describe the value that we know is there. And on a sort of adjusting it from an EPS basis, it does come out as, like, $2.50 per year. So if you wanna, you know, just do the math that extends on a per share basis rather than thinking of it as an asset, it's about $2.50 per share. We'll continue to provide that transparency and ensure investors are aware that that is an area that does provide value in the cash flow generation of the business.
Bill Katz: Great. Thank you very much.
Operator: Thank you. This concludes our question and answer session. I would now like to turn the conference back over to Mr. Aylward.
George Aylward: Great. Well, thank you so much. And, again, as always, I want to thank everyone today for joining us. And encourage you to reach out if you have any other further questions. Thank you.
Operator: That concludes today's call. Thank you for participating, and you may now disconnect.